Operator: Good day, ladies and gentlemen, and welcome to the Battalion Oil Q4 Fiscal Year 2019 Earnings Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to John-Davis Rutkauskas. Please go ahead. 
John-Davis Rutkauskas: Good morning. I'm joined by a few of my colleagues today, who I'd like to introduce. Battalion's Chief Executive Officer, Richard Little; our Chief Financial Officer, Ragan Altizer; and our Chief Operating Officer, Daniel Rohling.
 This conference call contains forward-looking statements. For a detailed description of our disclaimer, see our earnings release issued yesterday and posted on our website. This conference call also includes references to certain non-GAAP financial measures. Reconciliations of those non-GAAP financial measures to the most directly comparable measure under GAAP are contained in our earnings announcement released yesterday.
 We have also published an investor presentation, which may be found on our website and will be referenced during this webcast. As a reminder, Battalion adopted fresh start accounting as of October 1, 2019, to coincide with the timing of the company's normal fourth quarter reporting period. Please refer to Battalion's annual report on Form 10-K for the year ended December 31, 2019, for further details regarding fresh start accounting and the information discussed during this call.
 Now I'll turn it over to our team to present a few scripted remarks followed by Q&A. Rich? 
Richard Little: Thank you, John-Davis. I'm pleased to welcome the listeners to the Battalion Oil Fourth Quarter 2019 Earnings Call and our first investor update as Battalion Oil Corporation.
 Admittedly, it's been a long time since we've communicated to the market, and I assure you that truly transformational change has occurred here. I'm proud of what we've done over the last few months, and I hope that after reviewing these milestones, you'll understand why. I have to start by first acknowledging that the industry as a whole is currently facing 2 significant headwinds. First, the COVID-19 virus; and second, an all-out oil price war aimed at the U.S. shale industry.
 Battalion's business continuity plan allows us to administer the business 100% remotely. That's including processing payments and invoices to all stakeholders that includes vendors, mineral owners and our workforce. We recognize that we work in an industry critical to the national interest, and we don't take that responsibility lightly. We adhere to all CDC guidelines, and we're focused on keeping our workforce safe and healthy.
 While the workforce for our Houston-based employees may lend itself to new technologies and working remotely, our field operations are a little more nuanced. We've made arrangements to create adequate physical space among our field staff and are fortunate that the population density out in the field is relatively low anyway. You'll hear me elaborate more on EH&S later on. But for now, I'll emphasize that safety is one of our core values. Therefore, we're ensuring the continuity of our in-person safety meetings, which we require multiple times per day, by breaking teams in the groups of fewer than 10 people and increasing the reliance on radio communications as necessary. We really do value the health and safety of our workforce.
 In dealing with the price war facing our industry, we are prepared to and have, in many cases, reacted swiftly. Most of the people on this team have managed through some type of downturn throughout the course of their careers. These experiences have taught us to be more nimble and aware of the signs of a slowing market. Due to all of the work we've done over the last few months, we're not only in a position to endure this downturn, we're prepared to be opportunistic with a balance sheet-friendly M&A.
 Ragan will walk through fourth quarter highlights in more detail, some of which include ending 2019 with a net debt-to-EBITDA ratio of 1.54x. We find ourselves in this position due to substantial realized cost savings, operational efficiencies and the solid hedge position that we've built up over the last few months. Our year-end PDP volume is hedged 94% in the first year of our 3-year hedge book, with a floor of over $56 a barrel in 2020 using only plain vanilla swaps and 2-way collars. I'm proud that everything we've done together over the last several months affords us security and confidence as we face uncertainty.
 In today's presentation, we want you to walk away with the same impression that we had on this asset and on why this investment made sense when we were looking for our next opportunity and why it makes as much sense today as it ever has. We'll try to answer the question of why. Why this company, why Battalion Oil Corporation, why these assets on the Delaware Basin? And why now?
 In a nutshell, this team has the breadth of experience dealing with challenging acreage positions and in challenging markets. We have the expertise to drive down cost and improve performance. These assets are strong. We're developing an overpressured oily reservoir that has the potential to compete with Tier 1 acreage across the Permian. And that might come as a surprise from a company that just went through bankruptcy, but it's true, and we aim to explain why. The majority of the acreage is already held and requires minimal activity going forward, providing a more flexible foundation to adapt to the market conditions. We feel like the time to take advantage of the investment opportunity is now.
 We've been successful realizing values for companies in the past by getting into positions when the market is distressed. We look for opportunities to get into the business when others are trying to get out. This contrarian view, in my opinion, avails itself to opportunity. The time to get into this business is not when oil is trading at $100 a barrel or acreage multiples are excessive. We create value by focusing on the assets we already have without betting on oil prices or type curve improvements and without relying on leverage to generate growth. There are a number of things we've done to further strengthen our financial position. We've consolidated our Denver and Houston offices into 1 office located in Houston. We've reduced our G&A by roughly 45%, and we've integrated a strong technical team that continues to deliver repeatable results, reducing well costs by 32% in less than 6 months without compromising well performance.
 We've created an ESG task force to evaluate awareness in our organization. We've secured flow assurance for sour gas production in Monument Draw and plan to double treating capacity yet again by the end of Q1 2020. We expect this to service our production over the next couple of years under a 1-rig development scenario.
 We've reduced LOE by almost 30% across all of our operations, and last but definitely not least, we received our acid gas injection well permit that will allow us to treat our gas much more economically, will be a strong platform for significant responsible growth in the future.
 We're now operating under a new strategy with a new Board and a newly integrated team. It only seems fitting that when we relisted on the New York Stock Exchange American on February 20, we did sell under a different name, Battalion Oil Corporation. This truly is a new company.
 In 2019, despite everything that this company went through, we were still able to generate annual oil production growth of 6% to 10,356 barrels of oil per day or 11,489 barrels of oil per day in the fourth quarter. We reduced our fourth quarter operating cost to $18.28 per BOE versus $36.98 per BOE for the fourth quarter of 2018, that's a 50% improvement. We decreased our adjusted G&A unit cost by 37% to $3.22 per BOE from $5.08 per BOE in the same quarter of the previous year.
 On Slide 4, I just want to make a few points. First, all of the assets Halcón owned before becoming a pure-play Permian operator, they were shed by the end of 2016, so the asset base was totally different long before we arrived. Second, the entity was accustomed to a different business strategy historically than today. The successes of the first phase of the shale revolution, the land grab, the buy-and-flip mentality doesn't lend itself to the evolving dynamics of asset development.
 Good assets require a calculated plan and a tremendous coordination to fully realize the NAV. Halcón managed to acquire great acreage, but overcapitalized the asset early on and ran out of liquidity to address the increasing H2S issues for Monument Draw. We now have the benefit of hindsight from which to study the asset's development history and identify clear drivers of value going forward.
 The Battalion team takes more of a walk before you run approach. After drilling over 400 wells in the basin and a history of operating prolific unconventional basins across Texas and Louisiana, we appreciate the importance of fully understanding the reservoir before sanctioning a full-scale development program.
 Integrity is another core value of ours, and we want to deliver on what we say we're going to do. That means we need to prove to ourselves that we can create the necessary changes to drive value before we move into a full development mode.
 I'm pleased to be joined at Battalion by my colleagues and friends, Ragan and Danny, both of whom I worked with at Ajax Resources, which was a private equity-backed E&P company that we sold to Diamondback back in October of 2018. In searching for our next venture, we began evaluating Halcón assets and identified key drivers of value that we felt had merit. The operating expenses including G&A were too high. The well costs were too high. There wasn't enough treating capacity for H2S. The acreage has significant running room with multiple productive intervals that were not being tested or delineated, and a significant portion of the acreage is in an overpressured oily reservoir. We believe we excel at solving these problems and, therefore, have a good shot at generating value, even if we [ aren't ] ultimately successful at all of the above.
 The strategy and focus of Battalion was to create value organically. We believe we have a strong asset base and an experienced leadership team that understands execution, capital discipline and accountability. This is not the first time we've had to find opportunity on the basin hedges where creating efficiencies was imperative to driving values for the investor. In our minds, it's not just about cutting costs, but also tying our subsurface knowledge to our operations to not only improve well performance but also improve execution.
 Of course, we know it makes sense right now to grow through consolidation, but only if it makes sense from a balance sheet standpoint. The benefit that we have over others in our space is that if we can't find the right M&A value, we have our existing assets to create value.
 Our assets are focused on the Delaware Basin with 52,000 acre position from 30 co-located contiguous operating areas that allow for efficient long lateral development. The acreage is well held, requires very little continuous activity or future capital. Hackberry, for instance, is 95% held by production, while Monument Draw and West Quito require only 3 wells every year to hold both areas.
 Our capital program continues to be concentrated in Monument Draw, which is not uncommon for IP30s to be in the 1,500 to 2,000 BOE per day range with high oil content with the recent well results over 3,000 BOE per day in the area. With the reduction in CapEx that Danny will review in more detail, we're excited about the prospects of breakevens landing somewhere in the high 20s.
 West Quito has the potential to compete for capital with Monument Draw in the very near future. In the southern portion of West Quito, where most of the previous development took place, we recently brought on 2 new wells that, after 4 months of production, are outperforming the type curve by over 70%. If we can continue to drive costs out of the system, these wells will look very attractive.
 In the northern portion of West Quito, where oil percentages tend to be higher, we're working to try to block up this acreage to allow more efficient operations of 10,000-foot laterals. Today, we can only drill 5,000-foot laterals. We recently completed a stand-alone well in this area and excited to see the results. Hackberry has the most producing wells and, fortunately, the lowest decline. At an annual decline rate of less than 20%, this is a great cash flow asset for us.
 If you turn to Slide 7, we want to show you actual data from our relevant experiences together in the Permian and how significantly we affected change in a short period of time. This serves as the basis for our enthusiasm for Permian development. One thing I'll say about these results, and then I'll turn it over to Danny, is not only did the results get better, but in every instance, they became repeatable. 
Daniel Rohling: That's exactly right, Rich. Thanks, and good morning, everyone. I'm proud to showcase our operating history and to be a part of a team that's been together under a few different umbrellas. We've been able to take what we've learned after each at bat onto the next asset, as you can see. What we've seen after roughly 400 wells in the Permian gives me confidence in what we can keep doing here. I'm actually excited as ever about our future because it's in circumstances like these that I believe we have and will continue to be separated from other operators for our leading performance.
 Our emphasis has been and still is understanding how to tie the subsurface to key operational and economic decisions that impact our bottom line. This has consistently led to lower CapEx per foot, lower LOE per BOE and higher returns, driving us to achieve the absolute lowest possible breakeven prices.
 At the same time, well performance in the previous 2 full-scale development programs we led had to improve in order to continue supporting organic growth, where we don't need that here. These are undeniably the highest producing horizontal wells per foot that I have operated in the Permian.
 Focusing on what we've accomplished at Battalion over the last 7 months, you can see the results of the team's diligent efforts have been substantial. 32% reduction in well cost and almost a 30% reduction in LOE. That's all while the organization was constrained by financial restructuring. We're continuing to make improvements, and I look forward to sharing more of those results in the near future.
 As I said, the marriage of subsurface and operations is a big part of how we execute. I'm pleased with the vast repository of data the asset team has accumulated and that we have at our disposal to dissect. Translating those insights into results actually happened to occur much quicker than what we expected.
 On Slide 8, you can see all the wells drilled on the asset historically with Battalion wells depicted in red. In both areas, we've been actively drilling, we're pushing the limits and have decreased spud to rig release by 26% in overall drilling capital, which I'll comment on the next slide.
 In West Quito, I'd like to point out that we've only had 1 at bat and we drilled a record well coming out of the gates. That's one of the fastest wells also as we compare it to our offset operators. None of this just happens. I'm extremely proud of our drilling subsurface team and the continuous improvements that they're making.
 On Slide 9, we want to elaborate in a bit of detail on one of the ways we've incorporated this approach in our drilling operations. As a backdrop, I'll tell you that we came in focused on 16 fundamental variables we wanted to manipulate in order to try to reduce drilling costs and cycle times. Not all of them worked, but most have, and they've made a significant impact. The wellbore diagram on top shows 2 wells in the same pad. What you can see is the following: We reached the decision to deviate from our original plan and actively geosteered to 2602 away from limestones to increase ROP, decrease trips and decrease bottom hole assemblies needed to get to TD.
 Of course, this resulted in savings, and in this case, we're talking about nearly $0.5 million. Again, this is about one of many changes that lowered our cost from $688 a foot in the first half of 2019 to under $450 a foot on average for the last 6 wells. It doesn't stop with drilling either. Our subsurface team is tying the rock to the completion designs as well.
 On Slide 10, we're depicting an apparent correlation between frac gradient and stimulation costs. No surprise there. Here, we're using inversion to identify sections of laterals that may be predisposed to higher frac gradient, and we're modifying completion designs accordingly. This is also just one of many ways we've been able to report a reduction of completion costs from over $605 a foot in the first half of the year to under $450 a foot in the last 7 wells we completed as a team. That's a 25% reduction and not by simply reducing our job sizes either. On the contrary, we're able to achieve these savings while increasing proppant and fluid volumes across the board.
 Before we get into Slide 11, I'd also like to mention the diligent effort and work by our production operations teams, which resulted in a more stable base decline, less downtime and a more optimized artificial lift design. Our engineered flowbacks and production programs on new wells are also paying dividends, so much so that in the fourth quarter we hit record production multiple times. The team hears me say it at least once a day. We all work for our field operations teams. They are an amazing group and our lifeline at all times, but especially during unprecedented times like we're living in right now.
 On Slide 11, you can see the result of all the work that went into overhauling H2S handling field wide. One of the key tenets of our investment thesis, like Rich discussed, was the opportunity to optimize H2S at Monument, both capacity and cost.
 Slide 11 has a lot of information, but what I'd like to leave you with are 3 key points. One, we've doubled our capacity to process residual gas produced from our wells. Two, we secured long-term firm flow assurance for all of our wells. And #3, maybe most importantly, we've reduced unit cost by 70% from the middle of 2019 to year-end, principally by recalibrating the mix of chemicals used to treat the H2S and comprehensively restructuring critical components of the facility. Again, the takeaway is that we've got double the capacity and a 70% reduction in unit cost.
 To foreshadow a bit, we're excited to announce that we have finally obtained a permit for our acid gas injection well, and to tell you exactly what that's going to do for us. You can see the incredible capacity expansion the AGI brings us, depicted in the graph in the lower left of Slide 11. But what isn't captured is the fact that we'll also be reducing our trading costs yet again once we're all up and running, unlocking yet another driver of value to the bottom line.
 As a side note, and because the Delaware Basin producers have become increasingly required to grapple with acid gas handling, I'd like to make a quick distinction, and I'm happy to discuss in more detail if requested.
 When we discuss handling H2S, it isn't simply a question of gas volume because the concentration of H2S changes from well to well. Therefore, it's about volume of sulfur. So you'll see us try to give you a few different measures as we report our performance going forward.
 I'm going to shift to Slide 12 and hand it back to Rich in a second. I recognize that this quarter is a bit different than how we'll frame the dialogue going forward. And I know Rich already discussed this, but I'll reiterate it on every call. Safety and environmental stewardships are pillars of our culture and our strategy. If we can't operate safely or if we have to compromise on environmental stewardship in any way, we just won't do it. You'll see us open every presentation with what we're doing in the EHS and ESG realms because we're aware of its significance and because we're proud of our track record.
 Rich, I'll let you build on that a bit more. 
Richard Little: Thanks, Danny. You've heard us say it a couple of times now, safety is a core value for us. Together with safety, we have responsibility and obligation to what is right for the environment. I'm very proud of our safety record. As you can see in the lower left hand corner on Slide 12, we're consistently outperforming the industry and the AXPC average TRIR rates.
 On the spill side, we've drastically reduced our spill volumes both in total and relative to hydrocarbon production. For all these metrics, we'll not be satisfied until we've reduced them down to 0. But for now, I'm pleased with the trends.
 Something new that I mentioned earlier in the presentation is the formation of an ESG task force that will help us elevate the importance and visibility of environmental stewardship and social awareness throughout our organization. Many of these things we do on a daily basis, but it's never a bad idea to stress the importance and significance of our actions. For instance, we've been tracking our flare intensity for some time. If you look at the graph at the bottom, you see that we measure it favorably versus our peers.
 We've recently installed an incinerator at the Valkyrie H2S treating plant to reduce sulfur emissions, and we've installed over 20 VRUs at our major gathering locations. All of our oil and water production is transported across the field via pipeline to reduce truck traffic in the field and in our lease roads. And we've had an active leak detection program in place all along. We even own our own FLIR cameras and do self-inspections on a regular basis. 
 With that, let me turn it over to Ragan to review the financials. 
Ragan Altizer: Thanks, Rich. I'll begin with a focus on our liquidity position and then touch on a few highlights from Q4 '19.
 Upon emergence from bankruptcy in October, we entered into a revolving credit facility led by the Bank of Montreal. As of year-end, we had a borrowing base of $240 million and $144 million drawn. After giving effect to cash on hand and undrawn letters of credit, we had $99 million of total liquidity available to us at year-end.
 We recognize the impact the current market environment has on our access to liquidity. And while we believe it is too early to comment specifically on how redetermination season is going to pan out for the industry, we are aware of and we have confidence in a variety of plans to manage our near-term liquidity. We also have confidence in BMO. They have been a reliable partner for us with a strong relationship that predates Battalion. A relationship that was built on a consistent track record of delivering on what we've said and, therefore, a foundation of trust.
 Battalion's net leverage of 1.54x at year-end is among the lowest in the micro-cap space. And all the work that went into our restructuring last year positions us well as we navigate this market.
 We're also glad that we managed to build a strong hedge book before the price war. Our risk management philosophy is predicated on hedging a high percentage of PDP 3 years forward using plain vanilla swaps and 2-way collars. There are no 3-way collars or other floor-eroding instruments in our derivative mix. Our hedge book has a mark-to-market value of $125 million as of last Friday, March 20, which is based on a weighted average hedge price of $54 per barrel on 88% of our PDP volumes for 3 years forward through the end of 2022.
 We've obviously been running a permutation of downside stress test scenarios and believe that we will remain compliant with covenants and maintain the ability to execute on a cash flow neutral plan leaving the company in a position to resume an active capital program when conditions ultimately improve.
 Now I'll walk through a few financial highlights from our fourth quarter and year-end results. Annual production for 2019 was 10,356 barrels of oil per day compared to 9,748 barrels of oil per day for 2018. That's a 6% increase.
 For Q4, oil production was 11,489 barrels of oil per day, which exceeded our Q4 plan as our field teams rapidly and effectively deployed their optimization programs. Production for Q4 was made up of 57% oil, 19% NGLs and 24% gas.
 Total revenue was $65.6 million for the fourth quarter of 2019, of which oil represented 89%. We realized 95% of the average NYMEX oil price during the quarter as well as a $2 million gain from our hedge program. We reported a GAAP net loss to common stockholders for the fourth quarter of $10.5 million or $0.65 per share.
 After adjusting for certain items, including the effect of unrealized derivative losses, restructuring and reorganization cost and I'll refer you to the press release for the details on those adjustments. After those adjustments, the company reflected net income of $11.3 million or $0.70 a share. Adjusted EBITDA totaled $32.6 million for the fourth quarter of 2019 and $89.7 million for the full year.
 Total operating costs per unit were $18.28 per BOE for the fourth quarter of 2019 compared to $36.98 per BOE in the same quarter last year and $30.40 per BOE for the third quarter. These significant decreases are attributable to optimizations of H2S treating operations and substantial reductions in general and administrative costs.
 Capital expenditures incurred in Q4 2019 were $36 million, including $24 million in D&C and $11 million in infrastructure costs. Capital expenditures for the full year totaled $259 million compared to $585 million in 2018. D&C expenditures decreased from $438 million in 2018 to $162 million in 2019. And I'll remind you that this asset still supported a 6% production growth with that 63% decline in capital expenditures.
 Looking ahead to 2020. We had already planned to incur the lion's share of our full year capital in the first quarter. We've started 5 wells, and we're completing 7. With the change in market conditions and assuming that these conditions persist, we expect to incur very little D&C or infrastructure CapEx in the last 3 quarters of this year.
 Rich, back to you. 
Richard Little: Thank you, Ragan. As I've stated, we've been busy cleaning up the balance sheet and driving down costs. We think we're in a unique position to create value and grow in a down market. We have the right leverage and the right G&A structure to approach M&A from an advantage position. But if the right opportunity doesn't present itself, we still have significant growth opportunities within our own asset.
 As shown on Slide 17, we have a significant reserve base with almost 60% of the volume coming from wells that require very little remaining capital. And that's not to mention all the upside potential that we have yet to delineate when the market conditions are right.
 Moving to Slide 18. Our initial plan for reporting guidance in 2020 was to keep a single rig running throughout the year and complete 12 to 14 wells. We expected to spend approximately $130 million in total CapEx and generate about a 10% production growth while maintaining a cash flow neutral profile, assuming a $55 flat price deck.
 Given the current price environment, however, we need to pull back capital and reduce spending. As I said in the beginning of this presentation, we have the ability to react quickly without causing harm to the business. We've now released our frac crew, and will evaluate the merits of releasing our drilling rig. The rig is on a pad right now, but we have time between now and the end of May to finish up these wells and make a more informed decision on the path forward. That decision could result in a planned reduction of approximately 45% and only completing 6 to 7 wells. All those wells are expected to be online in Q1. This efficient use of capital should only result in about a 7% drop in production for the year versus our initial plan in 2020. So said differently, we're forecasting that with the slowdown, we have a plan in place that could hold oil flat year-over-year with spending minimal capital.
 I know that's a lot to digest, and I want to thank you for your attention. These are, no doubt, challenging times and I'd be tone-deaf not to acknowledge that. But I'll try to do my best to reassure you that we've been here before, and all the work we've done over the last 6 months could be a more appropriate preface to this first chapter of our story.
 You can tell we're proud of what we've done so far and look forward to sharing more progress with you in the next quarter. Thank you for your interest in Battalion. That concludes our scripted remarks. 
 I'll turn it back over to the operator for Q&A. 
Operator: [Operator Instructions] We'll take our first question from Noel Parks with Coker & Palmer. 
Noel Parks: Just had a couple of questions. Would that third processing train that you commissioned this month, the CapEx for that, was that mostly in 2019 or will it hit mostly in this year? 
Richard Little: The absolute majority of that was spent in '19. We'll see some of the capital being spent in 2020, but majority of it was spent in '19. 
Noel Parks: Great. And regarding releasing a rig after June, did -- comment on what you have left as far as acreage commitments, I think you only had to do about 3 years -- 3 wells a year to keep ahead of the leases. At this point, have you -- are you more inclined you think to actually plan for that drilling, of course, we don't know exactly what's happening with oil prices? Or are you looking more towards maybe negotiating extensions on those leases coming up next couple of years? 
Richard Little: Yes, no, thank you for your question. And do think you asked an important one with where we are positioned and what separates us from others. Our acreage position, as you mentioned, only assumes that we need to drill 3 wells a year to hold both West Quito and Monument Draw. We don't have to come back to Monument Draw to hold those leases, but this is a good acreage position for us. I'd tell you what we -- the way to think about what we've done is that we positioned ourselves for the flexibility. So if the market recovers, which in our opinion it will, everybody is going to have a different view on when that happens, I think we've positioned ourselves to weather the storm. And at that point, we'll continue the activity. But we do have a good partnership with many of our mineral owners, and so we're continuing to work with them on what that future development looks like. But with only the commitment after the current pad of 3 wells per year, I think we're in a very manageable position. So hopefully, that answers your question. Danny, if you... 
Daniel Rohling: Yes, just a little add on there is just that as you think about the out years, we need between 1 and 3 wells. And like Rich said, no significant activity in the back half of the year to be able to hold all of our leases. So just minimal CapEx in '20, but able to react and capitalize on any market as we go forward. 
Noel Parks: Great. And the last one, in the couple of weeks since we've seen oil prices take this last leg downward, have you gotten any signals from service vendors about if you did decide to hang on to the rig, just what sort of cost concessions they might be willing to make? 
Richard Little: Yes. Thanks, Noel. Good question again. I consider our relationships with our service providers also as partnerships, and so we continue to work with our service providers. Through this time, the service providers are really going through some difficult times, and so they're trying to figure out how they manage their business. So we'll keep those communications going. That's also why we said we'll consider the merits of dropping the rig because we are going to continue to have these conversations and we'll pivot with what the market is telling us to do. So again, yes, is the short answer to what you asked. We'll continue those conversations and again make the right moves depending on what the market conditions are. 
Operator: [Operator Instructions] And we have no further questions in the queue. At this point, I would like to turn the conference back to our speakers for any additional or closing remarks. 
Richard Little: Thank you. And again, I want to thank everybody for their interest in Battalion Oil. I hope we were able to convey to you why we're excited about the future. And the work we've done over the last few months has prepared us for this downturn. I realize that's not the case for many of our peers and many of the service providers that we partner with to develop our acreage. So while we talk a lot about our excitement of the future, we recognize that the here and now, it's going to be difficult for many of the workers in our industry. And like we've shown time and time again, this industry is resilient. We'll get through this downturn together. And in fact, if you look back at many of the technological advances and efficiencies that we've experienced in our industry, they're created out of these kind of necessities. So we learn from these experiences and we become even more resilient on the other side of these events. I have no doubt that this will be the case here as well.
 In addition to the uncertainty in our industry, families are also having to protect themselves from the spread of the coronavirus. We'll continue to put the health and safety of our workforce and their families first and foremost as we do our part to stop the spread of the virus.
 And then finally, in closing, 2019, I want to recognize is a very tumultuous period for the company. That's now in our rearview mirror. We've emerged as a new company with a new culture of capital discipline and a new strategy for creating value going forward as represented by our strong fourth quarter performance, and we look forward to reporting to continued success in the future. Thanks for your time today. 
Operator: Ladies and gentlemen, this does conclude today's conference. We appreciate your participation. You may now disconnect.